Operator: Good morning, and welcome to the Brunswick Corporation's Fourth Quarter and Full Year 2018 Earnings Conference Call. All participants will be in a listen-only mode until the question-and-answer session. Today's meeting will be recorded. If you have any objections, you may disconnect at this time. I would like to now introduce, Ryan Gwillim, Vice President, Investor Relations.
Ryan Gwillim : Good morning. Thank you for joining us. On the call this morning are Dave Foulkes, Brunswick's CEO; and Bill Metzger, CFO. Before we begin with our prepared remarks, I would like to remind everyone that, during this call, our comments will include certain forward-looking statements about future results. Please keep in mind that our actual results could differ materially from these expectations. For the details on the factors to consider, please refer to our recent SEC filings and today's press release. All of these documents are available on our website at brunswick.com. During our presentation, we will be referring to certain non-GAAP financial information. Reconciliations of GAAP to non-GAAP financial measures are provided in the appendix to this presentation and the reconciliation sections of the consolidated financial statements accompanying today's results. As a reminder, the results of the entire Sea Ray business are again being reported in continuing operations for GAAP purposes. However, as adjusted, non-GAAP results exclude the Sea Ray sport yacht and yacht operations that have been wound down. Therefore, for all periods presented in this presentation, all figures and outlook statements incorporate these changes unless otherwise noted. I would now like to turn the call over to Dave.
Dave Foulkes: Thank you, Ryan, and good morning, everyone. Our strong fourth quarter performance was a fitting end to a very ambitious 2018 which delivered record earnings and our ninth consecutive year of adjusted EPS growth to our shareholders. Our Marine business continues to succeed in a steady global marine market with our outstanding financial results reflecting the successful execution of our Marine strategy. Our capital strategy accomplishments included funding important investments to support organic growth and leveraging our strong balance sheet to fund the Power Products acquisition. We also funded our legacy pension obligations as we prepare to exit our remaining plans in 2019 and increased our dividend for the seventh year in a row. Finally, we continue to prepare for the separation of the Fitness business from the portfolio with the process progressing as planned. I’d like to share some perspectives on our segments and the marine market. The Engine segment had a record sales and earnings in 2018 with strong contributions from both propulsion and parts and accessories. The second half performance of this business accelerated due to both top-line expansion and margin improvements. The growth in propulsion was led by the new 175 to 300 horsepower V6 and V8 outboard engine platform introduced earlier in 2018. Along with growth in other high horsepower products which continues to be in high demand as customers migrated to larger boats with more content. Enabled by plant capacity expansions, outboard engine sales increased over 17% for the year. Additional capital projects are underway which will further enhance our engine production capabilities starting in late 2019. The Parts and Accessories business strengthened its leading market position by purchasing Power Products, which in addition to growing its already formidable aftermarket business provides opportunity to Mercury to leverage relationships with boat OEMs to provide an even broader portfolio offering. The result is full year revenue growth of 14%, operating margin accretion of 70 basis points, and 22% operating leverage, all outstanding achievements. The Boat segment also performed well in 2018 with solid increases in net sales and operating margins resulting from contributions across the product portfolios. I think it’s important to note that the Boat segment delivered $100 million of operating earnings in 2018, which last occurred in 2006 when the segment reported $2.9 billion in revenues. With each of our brands contributing to the profitability of the segment, operating margins reached 7% for the year which is already at the bottom-end of our 2020 target range. The Boat group continues to be led by its premium aspirational brands including Boston Whaler, Lund, and the revitalized Sea Ray, while steady improvement from Harris pontoons augmented the segment’s overall performance. Sea Ray’s Sport Boat and Cruiser business has performed well since it is fishing with ways to keep it in the portfolio and there is favorable momentum looking forward for this market-leading brand with very encouraging results from recent boat shows. Looking at our combined Marine segments, global revenue grew by 12% with 8% growth achieved on a constant currency ex acquisitions basis. Revenue growth was strongest in the U.S. as each segment recorded strong gains. The Engine segment performed well across all regions with growth around the globe in both propulsion and P&A. The Boat business also delivered solid results but was affected by certain regional factors. In Europe, revenue growth was influenced by colder weather early in the selling season, tariffs on products imported from the U.S. and supply constraints resulting from a capacity reduction and a contract manufacturing arrangement. In Canada, Boat sales were also down in the second half of the year as dealers limited off-season orders due to retaliatory tariffs on products imported from the U.S. which comprise more than half of our book sales in Canada. Note that earlier in 2019, we announced the dealer programs that cover a portion of the tariff impacts with a goal of prompting wholesale orders in time for boat shows and the start of the retail selling season. The U.S. Marine market performed in line with expectations in 2018 with industry unit growth of 3%. Outboard boats and engines continue to industry growth with increases in aluminum fishing boats and pontoons outpacing overall industry performance. The fourth quarter which represents less than 10% of annual retail sales was softer against a very strong Q4 of 2017. Although the outboard engine market continue to grow with Mercury picking up share in all category, 75 horsepower and above. Looking at our internal retail data for boats, based on pipeline inventory activity, our U.S. retail boat registrations in the fourth quarter were up 1% while global unit sales declined by 3% versus a very strong fourth quarter of 2017. If you exclude the impact of Lowe on these results, as this brand continues to be influenced by Bass Pro’s acquisition of Cabela’s, which we’ve discussed throughout the year retail registrations were up 10% in the U.S. and 2% globally for the quarter. For the full year, excluding the impact of Lowe, registrations increased by 3% in the U.S. and by 2% globally. These figures are generally in line with industry growth rates and our initial expectations for 2018. Looking ahead to 2019, we remain confident in the steady growth of Marine markets and anticipate retail unit growth in U.S. in line with 2018 growth, which was towards the bottom of our 3% to 5% targeted range. Global growth will trend lower as international demand is influenced by tariffs and trade policies. Early feedback from boat shows has been supportive of our market view with premium categories including Sea Ray and Boston Whaler performing better than value products and pontoons. Our 2019 unit growth figures will no longer be affected by the year-over-year comparability issues involving Cabela’s, as Lowe has been actively re-establishing distribution. Lowe is also benefiting from signing many new dealers, transitioning from an aluminum boat brand recently acquired by a competing engine manufacturer. Turning to the Fitness segment, our attention remains firmly on completing the separation of this business from the portfolio by the end of the first quarter or as promptly thereafter as practicable while maximizing value for our shareholders. The spin process is on track with a Form 10 filed in November and we continue to work with our advisors to evaluate other options including an outright sales of the business. Fitness’s fourth quarter was mostly consistent with our expectations. For the year, revenue was flat against 2017. Sales to Planet Fitness declined in the fourth quarter as projected and although gross margins remained steady sequentially, comparisons versus the previous year continued to be challenged due to the factors we discussed throughout the year including freight and the launch of our new cardio products. The new leadership team with oversight from the dedicated Boat Committee is executing against the refocused strategy to position this business with strong and long-term success. Now I will turn the call over to Bill for additional comments on our financial performance.
William Metzger: Thanks, Dave. Starting with the fourth quarter, on an as adjusted basis, diluted EPS was $0.98, a 32% increase versus fourth quarter 2017. Revenue was up almost 9% with Marine business up close to 14%. The combined Marine segments had increases in operating margins of 300 basis points and operating earnings of 47%. For the full year, also on an as adjusted basis, diluted EPS was $4.77, a 19% increase versus 2017. Revenue was up just over 9% with Marine segment up 12%. Adjusted operating margins were consistent with 2017 on a consolidated basis and up 90 basis points for the Marine segments. The adjusted operating earnings in the Marine segment increased by almost 19% versus 2017 exhibiting the strength of the Marine portfolio and giving us confidence in the outlook for the company upon separation of the Fitness business. In the Marine Engine segment, revenue grew by 19% led by continued robust demand for our new higher horsepower outboard engines with Power Products adding 9% to the growth rate. The organic P&A business continues to grow at a steady pace with controls in rigging products gaining acceptance as customers add more content and functionality to their boats. Mercury’s adjusted operating earnings increased by 59% in the quarter due to the increased sales as well as favorable impacts from changes in sales mix which both contributed to a 360 basis point increase in adjusted operating margins and operating leverage of 33%. The Boat segment had a very solid fourth quarter. Adjusted revenue grew 7% against a strong fourth quarter of 2017 led by sales increases at Boston Whaler, Harris Pontoons and Sea Ray. The Boat group’s leverage to sales increase into a 90 basis point improvement in adjusted operating margins and a 20% increase in adjusted operating earnings with operating leverage of 21% continuing the trend from the third quarter. Wholesale unit sales were down 4% for the fourth quarter and the full year while average sales prices increased 10% in the quarter and 11% for the year. These increases in ASPs reflect customers continuing to migrate the boats with more content and higher horse power engines, as well as growth in premium brands outpacing the performance of value product lines. In addition, we have raised prices in response to cost increases. Dealer pipelines ended the year at 36 weeks of boats on hand measured on a trailing twelve months retail basis, which is consistent with prior year levels and demonstrates our ongoing discipline over pipeline management. We believe that our pipeline levels are appropriate as dealers prepare for upcoming boat shows and the 2019 retail selling season. For 2019, we are planning for weeks of inventory on hand at year end to be slightly lower than year end 2018 levels. As expected, net sales for the Fitness segment declined by 6% which was mostly the result of lower sales to Planet Fitness and declines in Cybex branded cardio products. Commercial strength revenue increased due to improved product availability. Gross margins were relatively consistent on a sequential basis but down versus 2017 due to several operating factors including changes in sales mix, inventory adjustments, primarily related to product transitions, increased freight costs along with other cost inflation and inefficiencies. As a result, operating earnings fell by $17 million versus 2017. Our fourth quarter GAAP results also reflect the impact of several items which have been excluded from our as adjusted results. We recorded restructuring, exit and integration charges in the quarter totaling $24.6 million, which included a further impairment of the Cybex trade name of $14 million. We also recorded restructuring charges of $8.6 million and operating losses of $11 million related to the wind down and exit of the Sport Yacht and Yacht operations. In connection with the Power Products acquisition, we recorded $11.8 million of purchase accounting cost in amortization. Finally, we incurred other non-recurring charges related to Fitness business in addition to separation cost. Moving to 2019, with the pending separation of the Fitness segment, we are providing outlook comments and guidance excluding the Fitness business. This presentation provides greater visibility into the performance in the Marine operation and will minimize adjustments to our outlook at separation. However, until completed, our reported continuing operations GAAP results will include Fitness. On this new basis, absent significant changes in the global macroeconomic climate, our plan reflects overall revenue growth rates in 2019 in the range of 9% to 11% including an approximate 4% benefit from completed acquisitions. We anticipate strong improvement in both gross and operating margins with operating expenses declining slightly versus 2018 on a percentage of sales basis and operating earnings growth of a high teens percent. Finally, our guidance for 2019 reflects on an as adjusted basis excluding the Fitness business in the range of $4.50 to $4.70 per share. For the first quarter, we expect Marine business revenue growth to be slightly higher than the guidance range for the year and for Marine business operating earnings growth to be within the full year range. If we look at 2019 guidance on a consolidated basis, including the anticipated full year 2019 results for the Fitness business, we would project adjusted EPS of $4.80 to $5.05 per share. Dave will provide more details on the expectations for the Fitness business during his outlook section at the end of the call. Incorporated into our 2019 guidance is our view of the impact of tariffs which has not changed since the update provided after we received the exclusion on the 40 to 60 horsepower outboard engines a few weeks ago. Our Marine business still anticipates an impact of 2019 pretax earnings of $17 million to $22 million related to tariffs or $10 million to $15 million incremental over 2018. This estimate assumes that previously announced wave three of China tariffs will rise 25% or 225% on March 2, absent the U.S. administration reach an agreement with China and assumes no impact from the potential wave four of tariffs which would have a minimal impact on the Marine business. The impact of retaliatory tariffs on boat exports to Canada and the EU have been incorporated into our plan including the program assistance for Canadian dealers that Dave discussed earlier. Finally, as it relates to the Fitness business, the potential wave four of China tariffs would have an estimated $8 million to $10 million negative impact on pretax earnings in 2019. Let me conclude with comments on certain items that will impact our P&L and cash flow for 2019 with a focus on some of the more notable items. We anticipate free cash flow in 2018 in excess of $300 million reflecting the successful execution of our operating strategies. This estimate includes run-off amounts related to Sport Yacht and Yacht operations which were accrued at year end and excludes any Fitness segment results or separation costs. We estimate depreciation and amortization of between $100 million and $110 million which excludes the intangible amortization associated with the Power Products acquisition. Finally, our estimated effective book tax rate for 2019 is between 23% and 24% for the year, up versus 2018 due primarily due to lower foreign tax credit benefits and the impact of excluding the Fitness business. As we have discussed on recent calls, we continue to execute against our capital strategy and debt refinancing plans with no material deviations thus far. We plan on reducing our debt by at least $150 million to $200 million in 2019 and our estimated net interest expense for the year is expected to be between $65 million and $70 million with the debt reduction actions primarily occurring in the second half of the year. We will continue to invest in growth with capital expenditures for the year expected to be between $240 million and $260 million including investments in capacity and new products, as well as certain cash payments in 2019 that relate to 2018 activities. After the accelerated pension contributions in 2018, we are left with a residual pretax funding requirement of between $15 million and $25 million to fully exit the plant which we intend to complete this year. Finally, our capital plan for 2019 does not incorporate the utilization of any net proceeds that we will receive in connection with the Fitness separation. Upon completion, we will revisit our debt retirement objectives and share repurchase program. Finally, our debt dividend policy remains unchanged and we will continue to evaluate opportunities to grow dividends. I will now turn the call back to Dave to continue our outlook comments.
Dave Foulkes: Thanks, Bill. As we look to 2019, our plans for our Marine business built on the strong momentum generated in the second half of 2018. For the Marine Engine segment, this entails growing market share in outboard engines especially in the greater than 150 horsepower categories and completing additional capacity initiatives necessary to meet the strong demand for these products. We will complete the integration of the Power Products business into our strong P&A business and drive synergies resulting from the acquisition. While also strengthening the aftermarket business, Power Products provides the backbone of electrical systems that complement Mercury’s existing propulsion, steering and other control systems provided a fully integrated systems offering for boat manufacturers. Finally, Mercury will not slow down its aggressive pace of new product development and look forward to another year of releasing exciting propulsion and P&A products which make boating more accessible and enjoyable. The results of these activities is estimated net sales growth for the segment in the low to mid teens percentage range with a strong improvement in operating margins. Similarly, the Boat group will look to extend its 2018 momentum. Sales are anticipated to grow mid-single-digit percent in the U.S. led by continued growth in premium brands. International sales are expected to be flat versus 2018 as a number of factors will impact top-line growth including the rationalization of our commercial and government products business, retaliatory tariffs and the European supply constraints I discussed earlier. But these factors will have a minimal impact on segment earnings. We intend to continue to grow margins in 2019 through operational efficiency improvements at our facilities and other cost initiatives. We will also lay the ground work for additional future growth by launching several significant new products towards the end of the year. The revitalized Sea Ray Sport Boats and Cruiser business is providing a platform for several of the marine business’s technology platforms including Nauticon, advanced control systems and other enhancements which will continue to drive high value content on boats. Finally, as you will hear more about in a couple of weeks at our Investor Meeting in Miami, technology and consumer engagement activities will be a catalyst for more growth in the Boat business as consumers are demanding more content on boats focused on connectivity and ease of use. Moving to the Fitness business, the 2019 plan anticipates net sales declining by a mid-single-digit percent reflecting lower sales to value-oriented health clubs and flat market demand. Gross margins are expected to remain consistent with 2018 levels. As the separation process continues, Fitness will continue to execute against the new strategic plan put in place by the reorganized management team. This plan will leverage increased investment in new products and information technology including the modernization of the Fitness’s sales platform and continuation of its digital and online content strategies. Finally, the business will engage in cost reduction initiatives and actions to improve operating efficiencies including opportunities to significantly reduce freight and certain manufacturing process costs. These actions will result in further operating dilution in 2019 but will be accretive to the growth of the business in future years. Overall, as evidenced by our robust Marine business sales and earnings growth and continued execution of our Marine business and capital strategies, 2018 was a finer year for our company. I am looking forward to leading the company and our over 15,000 dedicated employees to even greater success in 2019 and beyond. Mercury Marine is celebrating its 80th anniversary throughout 2019 reflecting on its strong heritage of innovation and leadership in the marine industry. There will be several opportunities during the year for Mercury to showcase its focus on product developments and technology and Mercury looks forward to celebrating with everyone who has made these past 80 years such a success. Finally, we show some market calendars for our upcoming investor events at the Miami Boat Show which will be held at the Mandarin Oriental Hotel in Downtown Miami on Thursday, February the 14th starting with lunch at 11:45 and presentations at 12:30. Although we hope to see many of you in Miami, the event will be webcast for those not able to attend in person. I will now open the line for questions.
Operator: [Operator Instructions] Our first question comes from the line of Michael Swartz of SunTrust. Your line is open.
Michael Swartz : Hey, good morning everyone. Just wanted to touch on, I guess, the Engine business and incremental margins for the year ahead. It looks like you are assuming in the guidance of low 20s, maybe 20%, 21% incremental following a year in which you did, I think you said 22% and you came out of the year doing in the 30%. So I just want to get a sense of – first, are my numbers correct? And then, maybe, how we think about some of the incremental investment going forward as we think about 2019 and beyond?
William Metzger: Michael, it’s Bill. Good morning. I would kind of characterize it this way. We’ve got going into 2019 still very, very strong wins at our back relative to the new product that we introduced in 2018 both from a demand perspective as well as an incremental margin perspective. And if you dial the clock back on 2018, we had some challenges, kind of mid-year relative to the launch of and bringing online some new capacity in the products. We also started up a new system in our P&A business. Both of those will not be a factor moving forward. I would point out that tariffs which are mostly engines intensified moving into 2019, we got a little bit more currency headwind in 2019 versus where we were in 2018. When you blend all of that stuff together and given what’s the business wants to accomplish, from an investment and product perspective. I feel very, very comfortable with where we kind of set the leverage expectations for the business. There is certainly factors that are there that could produce a better result. But I think where we sit at this point of time of the year, it’s absolutely the right place to be.
Michael Swartz : Okay. That’s helpful. Thanks, Bill. And then, second question, I mean, just maybe, Dave you provided us some color, I think you had mentioned some positive commentary out in the early Boat or retail shows that you’ve seen. Maybe a little more color that you can provide on that topic?
Dave Foulkes: Yes, certainly. So, I would say the results of the shows early this year, say supportive of our growth projections and I think fairly balanced. I mean, we are in a very fortunate position with the breadth of our portfolio that as things ebb and flow between different segments across the year, we can always take advantage in one or more segments. Sea Ray and Boston Whaler had a particularly strong start in the Boat Shows in the U.S. and also in fact the large Dusseldorf Boat Show in Europe. So, I would say, it’s more among we feel that our premium fiberglass brands are off to a strong start, but we’ve seen somewhat softer performance in value aluminum and pontoons in the last year. So, overall, I think constructive and supportive somewhat of a different balance between 2018 and early 2019.
Michael Swartz : Okay, great. That’s it for me.
Operator: Thank you. Our next question comes from the line of James Hardiman of Wedbush Securities. Your line is open.
James Hardiman : Hi, morning. Thanks for taking my questions. So, industry growth 3% in the U.S. this year. That’s down a little bit versus last year. I guess, what gives you confidence that we won’t see an incremental step down into 2019 and that the 2018 deceleration isn’t the beginning of a broader trend.
Dave Foulkes: Well, I think from a Brunswick perspective, we had a good fourth quarter. I think a number of people are reporting that although there was some softness in Q4 of last year that there is a pickup in early 2019. And I think reports on early shows, reports on dealer confidence, are all constructive towards the three percentage range. Although potentially with this slightly different mix in the last year. I think from Brunswick’s perspective, we are very excited about the initial performance of our premium brands in 2019 and I think we are set to capitalize on the market whether it’s 3% or somewhat different to that, I think we are very strongly positioned. But nothing at the moment suggests to a material deviation from that market scenario.
James Hardiman : Okay, very helpful. And then, the Fitness business, obviously another tough year anticipated for 2019. But where the stock is trading, it’s almost as if people are scribing zero value to Fitness business. I guess, if I think about 2019 earnings are getting cut in half $0.30, I guess, where did that number peak? I guess, it’s question number one. Question number two, what do you think the potential earnings power is of that Fitness business? If I am doing the math right, it seems like your initial 2020 guidance was north of $1 and ultimately this may or may not be the setting to ask this question, but what do you think of the fair price for the Fitness business?
Dave Foulkes: James, I am not sure I am going to get into try and decide what the value of the business is, but I will give you some perspectives on what the businesses think about relative to what their long-term objective should be. 2018 certainly turned out a lot differently than we thought it was going to. I would say, the lion share of the delta really starts to be tied to A, where the plan at Fitness outcome ultimately landed with that supply relationship, but also just how the new integrity product line ended up being launched and some of the cost implications including freight and install, a little bit of warranty, a little bit of production inefficiency et cetera, we are just in a completely different point than where we thought we’d be at the end of 2018. Looking forward, I’d say the business has an opportunity, A. through better execution to improve margins I think fairly substantially from where they are going to trough in 2019, I think there is opportunities for them to start to stimulate some demand through some additional product investments. I think some of the investments they have planned on the IT side and simplification side will allow them to operate perhaps in a little bit different cost structure, today or tomorrow than they are today. I think all of those have a bit longer-term sort of implications to the earnings of the business. It’s not a 2019 thing, it’s more of a 2020 to 2021 it’s when the benefits will start to show. The team that’s there has done a lot of work in a fairly short period of time to put together a plan that’s really focused on getting the margins of that business back not to where they would have been pre kind of back in the 2014, 2015 range. But that’s still a business that should operate substantially higher than where they are today from an operating margin perspective.
James Hardiman : Helpful. Thanks guys.
Dave Foulkes: Did that help?
James Hardiman : Yes, it does.
Operator: Thank you. Our next question is from the line of Scott Stember of C.L. King. Your line is open.
Scott Stember : Good morning guys.
Dave Foulkes: Good morning.
William Metzger: Good morning.
Scott Stember : Could you maybe just talk about pontoons and aluminum fish, your comments are echoing what we are hearing across the board of some of the lower price entry-level stuff lagging some of the more expenses stuff. Maybe just, how does that factor into your expectations for 2019? And maybe just if you can just broadly speaking give us an explanation of why you think we are seeing weakness there?
Dave Foulkes: Well, certainly, I’ll do my best. I think our primary focus in our Boat business is on continuing to improve our margins and we are focused very, very heavily on our premium aspirational boat brands particularly Boston Whaler, Lund and narrow revitalized Sea Ray. As I mentioned earlier, the fiberglass brand seem to be doing well. Harris which is our premium pontoon brand was capacity constrained through 2018 and it will be to some extend in 2019. So even though there might be some market softness in pontoons, we still feel confident about the Harris brand. I would say that the softness that we’ve seen in some aluminum fish value brand does not extend to the Lund brand which is our premium brand. So, I think that, we are watching the marketplace. It’s a difficult time of a year. There are lot of weather effects going on. Certainly, weather affected some of the early shows in the Midwest and in Canada. So, we will wait and see over the next few weeks or so how this develops. I would say that from our perspective, from Brunswick’s perspective though, although it might affect unit volumes, our premium brands with the best margins are performing very well with no indications of weakness. I would say that, the comment I made about the Lowe brand. Lowe is recovering as you know from Bass Pro’s acquisition of Cabela’s but really is benefiting from migration of dealers away from other value aluminum brands that was subject to some disruption last year. And so, it would be interesting to see for all of us how that balance plays out during the year and of course we will know more in a month or so as we get through some of the weather effects and lower volumes associated with this time a year.
Scott Stember : Got it. And last question on tariffs. Obviously, we are getting I guess, closer to a decision from the administration whether we opt to a 25% rate on list three. Can you maybe just give us a couple of scenarios if we do go to 25% obviously you have that within the guidance here. But if the 10% goes away outright at some point, maybe just give us an indication of what you would expect to get clogged back into as far as earnings for 2019? I know it’s difficult because it’s different moving pieces in commodities and what not. Maybe just give us a little flavor there and thanks for taking my questions.
Dave Foulkes: Scott, I think I would characterize, I think we’ve done a pretty good job of laying that out in the script kind of the $17 million to $22 million is what we got included in the results for 2019 related to tariffs. If the tariff situation where to go away, the lion share of that number is China. There is probably some revenue implications to it that probably aren’t included in that number but I think when you balance that up against the other kind of headwinds, tailwinds within the group, I would focus on the $17 million to $22 million as what the number would be.
Scott Stember : Got it. Thanks again.
Operator: Thank you. Our next question is from the line of Craig Kennison of Baird. Your line is open.
Craig Kennison: Good morning. Thank you for taking my questions. I wanted to start with Fitness. Have you considered a delay in the spin or a sale of that business given the recent performance and given maybe the desire to give that time – I am sorry, give the team some time to show better results? And if so, how do you weigh that against maybe shareholders that want to see you move on as quickly as possible?
Dave Foulkes: We are firmly on plan to separate the business. I think you know that there are always things that you could think about that might get better or worse. But we are firmly in the process in flight with separating the business and working as we said along two parallel paths, spin and potential sales. So that is the plan and continues to be the plan.
Craig Kennison: Thank you. And then on a different note Power Products, maybe just talk about where you are seeing opportunity for synergy? What surprised you about that opportunity since you’ve acquired it?
Dave Foulkes: Well, Power Products I think was a wonderful acquisition for us. If you could think about Brunswick Marine as a whole, we have a marine platform that is unparalleled and generate – with the ability to generate tremendous synergies and operate and also value to the whole industry I think, Mercury is wonderful propulsion system. So our P&A business has everything from seats to lighting to a whole range of other things. But getting the Power Products gives us a whole electrical backbone and digital backbone of the boat. And so, we can now come to a boat OEM and offer them a fully integrated solution for their boat system with propulsion, electrical, digital control, water management, steering, essentially allowing an OEM to focus where they want to focus which is how to differentiate their product which is typically the both the use case, the haul, the interior, those kind of things. Nobody else in the marine industry can offer that kind of integrated solution. And so, as soon as we got Power Products, we’ve built that team which is already out with OEMs offering that integrated service and we have a lot of interest on it. So, I think, I am incredibly excited about that acquisition. We could not – I mean, you could not have imagined, a better way of filling out our P&A portfolio than Power Products. It was the perfect acquisition. It gives us something that nobody else in the industry has anything like and I think the Power Products team is excited about as we are. They have a lot of hurdle net play but we are finishing out the acquisition on plan, but I know the whole team is tremendously excited about what we can now offer to the marine industry.
Craig Kennison: Thank you.
Operator: Thank you. And our next question comes from the line of Tim Conder of Wells Fargo Securities. Your line is open.
Tim Conder : Thank you. And, David welcome to your first official call here.
Dave Foulkes: Thank you.
Tim Conder : Look forward to seeing again in Miami. A couple of things, gentlemen here, just a follow-up on the aluminum and the question was asked earlier. How much – again, early in the season you alluded the weather impacts, how much of that also is maybe from Canada with Princecraft in addition to weather, any – and also some of the dealers are you seeing any feedback that the consumer maybe on the margin it’s harder to close sales year-over-year relative to the larger products?
Dave Foulkes: Good question. I think, the Toronto Boat Show did show softness in aluminum. Princecraft is pretty uniquely positioned as a Canadian-based manufacturer and not subject to tariffs. So we are excited about the prospects of that business. But there is no question that the combination, the tariffs and perhaps the other things would on the Canadian economy are potentially affecting buyer behavior. I would say though that I would not read too much into the first show that really is a very dynamic time in the year with volumes low and show attendance and other things significantly affected by weather and other factors. So, I think the good news out of all this is that the premium brands are doing well including our Lund brand which is a premium aluminum fish brand. So, if there is any softness, it’s in the value area. And I would say it’s very early and we will keep monitoring it. Now we have some factors as I mentioned earlier going in our favor in terms of Lowe’s competitive position which is somewhat different to last year. So, we will continue to go after that as hard as we possibly can.
Tim Conder : Okay, okay. And then, from the perspective of – a little bit more on the Fitness side, do you anticipate filing an updated, I think it was F-10 here for that business? And then, it sounds like, Dave, and again, you would expect a sale or spin here sort of in the early part of Q2. Is that what we heard from the early part of your commentary?
Dave Foulkes: I’ll let Bill talk about the F-10.
Tim Conder : Okay.
Dave Foulkes: The Form-10 update.
William Metzger: Yes, the Form-10, Tim is, obviously we filed the initial, we’ve gone through the review process with the SEC. You would expect there to be an update to that filing to bring forward financial statements more current as well as, fill in some other information items that weren’t included in the first Form-10. So, you should expect to see an update to the Form-10 relatively shortly I would say. That the second comment relative to, actually, what was the second question?
Dave Foulkes: It was really associated with the timing. So - and I think that the opposition is that we are working as diligently and hard as we possibly can to execute both paths, the two paths because slightly different sales to them. But we are progressing to the plan that we have declared.
Tim Conder : Okay. And then, from the ramping of the engine business I think, just a little bit more timing you said that you expect that to be more a second half weighted. How much of that is weighing on the startup ramp up cost? And roughly what type of additional capacity you are adding based on the existing footprint that was obviously just expanded in 2018?
Dave Foulkes: So, I think the good news from the Mercury team is Fond du Lac, as usual they are little figurative machine up there. So they are squeezing out every last unit they can from the current capacity and in a lot of cases exceeding where we thought they would be. But really the next big increase in capacity will be online in Q4 of 2019. Unlike the original kind of capacitization for the new platform, this next tranche is more – I wouldn’t say tactical, but we are not building any new walls anywhere we are essentially adding machines inside Fond du Lac and also adding some capacity to the supply base. So we are confident in the execution of that and we believe that that will give us adequate capacity to meet demand for the next several years. The good news about that additional capacity is that, a lot of that comes at a higher margin than our initial capacity, because we are able to satisfy demand in some of the channels t hat have not been fully satisfied so far, particularly the dealer channel which is a higher margin channel for us. So there is some compounding of the effect of adding the balance of the capacity there. But our plan is that we will not be capacity constrained in that product range for the significant future beyond the end of 2019.
Operator: Thank you. And our next question comes from the line of Eric Wold of B. Riley. Your line is open.
Eric Wold : Thank you. Couple questions. One, kind of going back to couple of the topics previously. On the value product softness, any feedback that you are getting from dealers in terms of what they are hearing from consumers that is driving that? I it a confidence issue? Is it financing given that more the value product is financed versus the cash burden?
Dave Foulkes: I would say, I don’t honestly have extraordinary level of detail on that. We are basically getting initial feedback from shows here, not specifically from dealer commentary. I would say though and I know you know this, but the unit effect of this kind of potential demand softness on our value product is really a minimal, I mean, really a minimal impact on our earnings. So, we will be working very, very hard to maintain and improve our share. We will do what’s necessary in the various market conditions, but I would say, this could be – I just want to make sure that that is – it’s understood that that is a relatively minimal effect on our earnings in 2019.
Eric Wold : Perfect. And then, going back to the tariffs, to make sure I understand the $10 million to $15 million incremental impacts this year versus last year, is that on an apples-to-apples basis with the kind of the reimbursement of the 40, 60 horsepower tariffs from last year?
William Metzger: That’s correct.
Eric Wold : Okay. And then, so I guess, thinking about it, is it too simple that – is that indicates the impact last year was about $7 million for mostly the back half and too simple to just double that kind of based on impacts on 2019 before the rise to 25% and 10% or is it not that simple?
William Metzger: It’s not going to be quite as linear throughout the year as you might think because of the timing of when tariffs came online. It’s probably a bit more first half weighted and second half weighted, but.
Eric Wold : Okay. And then, just a final question on the Fitness spin or separation. I have – the biggest factor doing driving decision to sale versus the spin is valuation expectations from what a sale would bring versus what you think you could end up getting in a post-spin environment. I guess, on that note, anyway to frame the level of interest that you’ve seen from potential buyers kind of from when you first announced it through to the Form-10, through to now given all that’s going to transpire over the past year?
William Metzger: I would kind of frame it this way, Eric that we deem this to be something that should be an attractive asset for somebody to own it. What we did and have received inbound enquiries on the process we would expect as we go through a more formal process to have a number of folks that are interested in the asset. So what we don’t consider this to be something that’s not going to have an appropriate level of interest from financial buyers who are potentially others and that’s kind of the way I characterize it.
Operator: Thank you. Our next question comes from the line of Joe Altobello of Raymond James. Your line is open.
Joe Altobello : Great. Thanks guys. Good morning. Thanks for squeezing me in. Appreciate it. I guess I want to extend my congratulations as well, Dave on your first earnings call. Hopefully, the market was I think somewhere warm, although it’s probably hard to warmer than Chicago today I suppose. So, I guess..
Dave Foulkes: Thank you for that.
Joe Altobello : No problem. First of all, first broadly speaking, how does your strategy differ with what’s been in place over the last few years if at all?
Dave Foulkes: Well, I think, first of all, we’ve had a team at obviously Mark is no longer in the CEO role, but we have tremendous continuity within Brunswick. People I am with Bill Metzger is right next to me, John Pfeifer, Huw Bower on the Boat side, we’ve been around for a number of years as we’ve crafted and put together the pieces of the strategy. And I would say that we are really - on the Marine side, really firing on all cylinders with great products, with capturing new market share, with margin expansion. So you will see us taking full advantage of that. We think there is plenty of runway in the current – we refer to it as a platform. Nobody else in the marine industry has the kind of platform that we have which is a combination of propulsion, now we are really deep cycle-resistant P&A and a tremendous portfolio of Boat business that nobody has anything close to that in the industry. So we intend to fully capitalize on that and that is a combination of growth initiatives which includes new product developments, potentially some new categories along with a rigorous attention to operating excellence and quality. I think what you will see, if you are in Miami, as well as that we see the potential in large amount of the addressable market if you like in marine, through a number of different areas that are appearing not only in the marine vertical, but also in a number of other verticals even autonomy, connectivity, shared access models, but all things that we will be talking about in Miami as meaningful extensions of the platform. So, I think we’ve become and are now noted to be the innovator in the marine marketplace. But I would tell you that that does not mean in any way that we will lose focus on operating excellence and product development in our core business.
Joe Altobello : Got it. That’s very helpful. And I guess, just to follow-up on that. One of the rationale for entering Fitness was the sort of derisk the portfolio and take some of the cyclicality out of the business. Now that you are unwinding that, is there any thought to additional expansion down the road or is the plan now going forward going to be just a pure play marine company?
Dave Foulkes: We have solidly in marine, and that is by far our primary focus. A couple of our businesses like Power Products do have some product categories that extend beyond marine. But our entire strategic focus now is on marine. I honestly believe as I said with the platform that we have that we have tremendous runway in marine business. We have really, only just begun to exploit the Power Products acquisition. We have plenty of room to run. I mean, Mercury is not slowing down at all, but the engine launches that you saw in 2018 are going to be followed by new products this year, which are exciting and you will see exactly the same thing next year and the year after. Our Boat business is I think – what’s exciting about our Boat portfolio now is that, over time, there have been single large contributors to profitability. But now we have multiple contributors to profitability, much more balanced portfolio and a lot of excitement in the Boat business about our ability to win in new markets, introduce new hybrid products like the Boston Whaler Round product that we introduced which is really a white space kind of product. Now we have excitement about attracting millennials into the business. So, we have just a tremendous runway and are very, very excited and dedicated team.
Operator: Thank you. And our next question is from the line of Gerrick Johnson with BMO Capital Markets. Your line is open.
Gerrick Johnson : Hi, good morning, yes, it’s still good morning. On the third quarter, Mark mentioned that you expect retaliatory tariffs would be removed to normal wholesale demand would return sometime in 2019. So, is that no longer the case?
Dave Foulkes: Gerrick, I would say that our assumption is that there is going to be some level of demand effect as a result of retaliatory tariffs. We probably are a bit more conservative now than we would have been back in the third quarter.
Gerrick Johnson : Okay. And on your guidance…
William Metzger: Again at the margin, I am not sure it’s a big needle mover. At that point in time, there seem to be quite of an impact. Remember, we’ve taken a fairly dramatic decline here in the second half of the year relative to the Canadian demand. We are anticipating that that’s going to more stable moving into 2019 without a lot of recovery.
Gerrick Johnson : Okay. And so, I should assume that your guidance for international boat sales as being flat, assumes that those retaliatory tariffs stay in place. And then, my next…
William Metzger: That is correct.
Gerrick Johnson : Okay. And let’s say those went away today. What would your international boat guidance be if retaliatory tariffs went away today?
William Metzger: I guess, the best answer is improve, magnitude-wise, Gerrick, it’s difficult to really understand where the consumer interest would be in a different pricing environment. That Canadian market is still a very strong market, especially for the aluminum product and pontoons. I would expect to go back to more normal market conditions.
Dave Foulkes: I would say, in terms of Europe, we do have – we do produce a lot of the product that we sell in Europe, we manufacture in Europe in our facilities in Poland and Portugal. We don’t often talk that much about it, but we have a couple of brands over there, Quicksilver and Uttern that make up the majority of our volume. So what we are really talking about is the exported volume that tends to be higher margin product for us. And so that would certainly give us an opportunity to reaching out the mix in Europe. Although I don’t think I could quantify it today.
Operator: Thank you and at this time, we would like to turn the call back to Mr. Dave for some closing remarks.
Dave Foulkes: Well, thanks everybody on the call for your good wishes. I could not be more excited both about what we did in 2018 and what we plan to do in 2019. I am very, very excited to see you all in Miami. It’s going to be a great show for us. We are excited to talk about our strategy in a lot more detail and I think that we will be able to convey the unbelievable excitement and momentum that we feel on the marine side at that venue. So, I am excited. I know, we’ll get you excited and look forward to seeing you all in Miami.
Operator: Ladies and gentlemen, thank you for your participation in today’s conference. This does conclude the program. You may now disconnect. Everyone have a great day.